Executives: Shiwei Yin – Investor Relations Zhiwei Zhao – Chief Executive Officer Jun Wang – Chief Financial Officer
Operator: Ladies and gentlemen, thank you for standing by and welcome to the JRJC Second Quarter 2013 Earnings Call. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. (Operator Instructions) I must advise you that this conference is being recorded today, Tuesday 15th of October, 2013. I would now like to hand the conference over to your first speaker today, Mr. Shiwei Yin. Thank you. Please go ahead.
Shiwei Yin: Thank you, Haun, and thank you everyone for joining us today. And before we begin, I will remind all listeners that throughout this call we may present statements that may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. The words believe, estimate, plan, expect, anticipate, project, target, optimistic, intend, aim, future, will, or similar expressions are intended to identify forward-looking statements. All statements other than historical facts may be deemed forward-looking statements. And these statements are based on current expectations or beliefs, including, but not limited to statements concerning China Finance Online’s operations, financial performance and condition. China Finance Online cautions that these statements by their nature involve risks and uncertainties and actual results may differ materially depending on a variety of important factors, including those discussed in Company’s reports filed with the Securities and Exchange Commission from time-to-time. China Finance Online specifically disclaims any obligation to update the forward-looking information in the future. I will now turn the call over to Mr. Zhao for prepared remarks. As usual we will conduct a question-and-answer session at the end of our presentation. Mr. Zhao, please proceed.
Zhiwei Zhao: [Foreign Language] Hello, everyone. In the second quarter, the Chinese stock market continued to underperform major global indices and showed persistent strong volatility. The investor confidence remains weak. [Foreign Language] Against the challenging business environment, our operations continued to show signs of improvements in the second quarter as our top line has grown sequentially over two consecutive quarters. We remain cautiously optimistic that we are lowering our cash attrition in the second half of the year and continue to have full faith in the long-term prospects of our businesses. [Foreign Language] In China Internet-based finance is gaining traction as more users realize the safety, convenience, and diversity of the financial products available through online platforms. We see this as a good opportunity for us to further develop an internet-based finance business capitalizing on our robust internet capabilities. On that front, I’m pleased to share with you that we have launched Yinglibao, in jrj.com, and stockstar.com, in internet-based financial platform that integrates cash management solutions and mutual fund distribution for trial service. [Foreign Language] With the convenience of banking and deposits and higher yield than bank prime time deposit, Yinglibao is a smart way for users to manage their cash and an excellent alternative to the traditional savings account. [Foreign Language] In addition, Yinglibao users now have the option of purchasing mutual fund products directly through their accounts. Over time, Yinglibao will continue to innovate to become an one-stop shop for online investments and users will gain that access to a variety of investment options. [Foreign Language] Yinglibao builds on a strong user loyalty and our web portals jrj.com and stockstar.com, and our deep understanding of the user demand for our investments. And in a recent study conducted by the authoritative Internet Society of China, jrj.com is awarded ‘China’s Top 100 Internet Sites’ and ranked number one among all financial websites in China. [Foreign Language] As we seek to provide alternative investments to clients within a sluggish stock market, we recently began a service for clients to trade precious metals. [Foreign Language] Leveraging the massive user base of our flagship portals in our professional abilities, we are aiming to provide high-quality financial product and services to our customers. Going forward, we will continue to consolidate and integrate the complementary resources and we look forward to working closely with other industry leaders in the future to bring better products and services to our customers. [Foreign Language] Now, I’ll turn the call over to Mr. Jun Wang, Chief Financial Officer for an overview of our financials.
Jun Wang: Well, thank you, everyone. Let me first briefly review our second quarter 2013 financial results. All financial numbers are presented in U.S. dollars and rounded to one decimal point for approximation. Our net revenues for the second quarter were US$7.6 million, compared with US$8.1 million for the second quarter of 2012, but up from US$5.5 million for the first quarter of 2013. We have re-categorized the components of our net revenues for better reflection of the evolving nature of our business. Going forward, our net revenues will be categorized under: (a) revenues from financial information and advisory business, which include subscription fees from individual customers and institutional customers; (b) revenues from financial services, which include brokerage-related revenues and our recently launched precious metal trading business; and (c) advertising revenues. During the second quarter of 2013, these three segments of business each contributed 32%, 43%, and 22% of total revenues, respectively, compared with 69%, 16%, and 15% for the second quarter of 2012. Revenues from financial information and advisory business decreased 56.1% year-over-year to US$2.5 million. The decrease was largely due to the company’s previously disclosed strategic business transition and the weak Chinese stock market. Revenues from financial services were US$3.3 million compared with US$1.3 million one year ago. Revenues from advertising revenues increased 40.6% year-over-year to US$1.7 million from US$1.2 million in the second quarter of 2012. Our gross profit was US$5.2 million compared with US$5.5 million for the second quarter in 2012, but up from US$3.6 million in the first quarter of 2013. Gross margin for the second quarter of 2013 was 67.9% compared with 68.5% for the second quarter of 2012, but up from 66.1% in the first quarter of 2013. G&A expenses were up US$3.2 million, or 41.5% of net revenues, compared with US$2.6 million, or 32.1% of net revenues for the second quarter in 2012, and US$2.9 million, or 52.7% of net revenues for the first quarter of 2013. The increase in G&A expenses in absolute value was mainly due to the headcount-related expenses. Sales and marketing expenses were US$4.5 million, or 59.6% of net revenues compared with US$3.3 million, or 40.5% in the second quarter of 2012 and US$3.1 million, or 56.7% in the first quarter of 2013. The increase in sales and marketing expenses in absolute value was mainly due to expenses associated with our restructuring effects and new business initiatives. Product development expenses were US$2.2 million, or 29.2% of net revenues, compared with US$2.7 million, or 33.3% of net revenues for the same quarter in 2012, and US$2.2 million, or 40.2% of net revenues in the first quarter of 2013. We continue to invest in data, product, and technical capabilities in the long run. Total operating expenses for the second quarter of 2013 were US$9.9 million, compared with US$8.6 million in the second quarter of 2012, and US$8.2 million in the first quarter of 2013. Net loss attributable to China Finance Online was US$4.5 million, compared with a net loss of US$2.6 million in the second quarter of 2012, and a net loss of US$4.3 million in the first quarter of 2013. Both basic and diluted weighted average of ordinary shares in the second quarter of 2013 were 109 million shares. Each ADS represents five ordinary shares of the Company. On a six-month basis, total net revenues were US$13.1 million, compared with US$17.2 million in the first six months late last year. Gross profit for the first six months of 2013 was US$8.8 million, compared with US$12.7 million in the same period last year. Gross margin was 67.2% for the first six months of 2013. Net loss attributable to the company for the first six months of 2013 was US$8.9 million. Now, let me walk you through our financial position. As of June 30, 2013, total cash and cash equivalents were US$29.8 million and short-term investments were US$7.8 million. Accounts receivable in non-margin related business was US$8.5 million while iSTAR Finance margin-related accounts receivables was US$3 million. As a result of participation of real estate project, the long-term investment was US$22.5 million as of June 30, 2013. Our total shareholders’ equity was US$71.7 million as of June 30, 2013. With that operator, we are ready to begin the Q&A session. Hello.
Operator: Ladies and gentlemen, we’ll now begin the question-and-answer session. [Operator Instructions] Your first question comes from the line of John Black [ph]. Please ask your question.
Unidentified Analyst: Yes. So I was wondering, can you say a little more about Yinglibao?
Jun Wang: Sure, thank you. Well, we feel very excited to announce the newly launch of our new Internet financial platform Yinglibao for trial service. And this is a smart way, I mean, Yinglibao for users to manage their cash in an excellent alternative to the traditional savings accounts. To users who maintain Yinglibao account balances, we offer money market rate of return on balances, which is several times of current bank deposit rate placing the selected third-party money market funds. And the money market fund we chosen is managed by our top mutual fund management firm in China as ranked by Morningstar. And besides the high return on cash, the users of Yinglibao can also make a real-time withdrawal and transfer it, enrolling the automatic money monthly deposit program and even scheduled payments from mortgage and car loan for their accounts. I’m sorry, in vision this Yinglibao platform also allows users to find the mutual components and it is our company, the one selected to have received the mutual fund distribution license from the Chinese Securities Regulatory Committee. And so Yinglibao users now have the option of purchasing mutual components directly from their Yinglibao accounts. Over time, we believe Yinglibao will continue to innovate to become a one-stop shop for online investments, and so users can gain access to a variety of investment options. Thank you.
Unidentified Analyst: What is the user base and can you say something about the ISC, what’s that rate game?
Jun Wang: First on the user base for – I believe that you’re talking about user base Yinglibao right? And for Yinglibao, I think that at this stage, because it’s still in a very early stage of the trial period, we are still collecting with ourselves. And so we are now ready to disclose the user rate information yet. So really this [indiscernible] for our understanding.
 :
. :
 :
 :
Operator: Thank you for your question. Your next question comes from the line of Kevin Vincent. Please ask your question.
Unidentified Analyst: Yes. Could you please talk a little bit about your cash outlook for the rest of 2013?
Jun Wang: Well, thank you, Kevin. Well, as we explained in our speech, that on a sequentially basis, we grew our top line in two quarters in a row and then we’ll continue to expecting – the improvement of our cash position in 2013. We anticipate that some of the integrated financial services may further attenuate towards the top line in the second quarter of the year. However, due to the ongoing uncertainties in the global economy and the sluggish Chinese stock market, we would like to remain cautiously optimistic on further lowering of our cash attrition in the second quarter of the year and we will continue to have full faith in the long-term prospect of our business. Thank you.
Unidentified Analyst: Thank you.
Operator: Thank you for your question. There are no further questions at this time. I would now like to hand the conference back to Mr. Shiwei Yin. Please continue.
Shiwei Yin: Thank you all for participating in today’s earnings call and webcast, and we look forward to speaking with you again, and have a good day.
Operator: Ladies and gentlemen that does conclude our conference for today. Thank you for participating. You may all disconnect.